Operator: Good day, ladies and gentlemen, and welcome to the Federal Signal Fourth Quarter 2008 Earnings Conference Call. My name is Alicia and I will be your operator for today. At this time all participants are in a listen-only mode. We will have a question-and-answer session towards the end of this conference. (Operator Instructions). As a reminder this conference call is being recorded for replay purposes. At this time, I would now like to turn the call over to Mr. Bill Barker, Senior Vice President and Chief Financial Officer. Please proceed.
William G. Barker III: Thank you. Good morning and welcome to Federal Signal's fourth quarter 2008 conference call. Joining me on the call today is Bill Osborne, our President and Chief Executive Officer. Before we get to the business review, I will remind you that some of our comments may contain forward-looking statements that are subject to the Safe Harbor language found in today's news releases and in Federal Signal's filings with the Securities and Exchange Commission. These documents are available on our website www.federalsignal.com. We will file our Form 10-Q shortly. We will be using some slides in the presentation a little later in the call. The slides can be found on our website. And now, I will turn the call over to Bill Osborne.
William H. Osborne: Thank you, Bill. As we discussed in our press release, we reported earnings per share from continuing operations of $0.10 for the quarter compared to $0.23 per share last year. This year's figure includes an $0.08 per share related to one-time costs... related to obligations associated with our China joint venture, and $0.04 per share primarily for severance for cost related to restructuring actions. I will discuss both for these charges in a moment. I feel the company performed well in the fourth quarter considering the economic environment we find ourselves in. Our revenues for the quarter were virtually flat to last year, down less than 1% despite a negative 2% net currency impact. And we continue to see good growth in some of our key public safety businesses. Although our orders were weak down 20% versus last year due to the global economic challenges, we entered 2009 with an order backlog of over $300 million, Will Barker will review the sales and income results by business units in a few minutes. But I'd like to address a few overall points first; the actions that resulted in our Q4 charges, an update on our hearing loss expenses, the current marketplace, and our expectations for the first half of the year. First, the Q4, charges, there was a $10.4 million pre-tax charge related to our China joint venture primarily due to our obligation to guarantee the joint venture's debt. The JV was established to produce and sell refuse vehicles and sweepers in the Chinese market. However, the joint venture has not generated the expected profitability since its inception a few years ago and the current economic challenges make it unlikely that the joint venture will be profitable at any time in the near future. We are currently working with our local partners to take the appropriate steps to curtail future losses from the JV so we can redirect funds and management focus towards some of our more compelling growth opportunities over the next few years. We will continue to expand our efforts to sell other products into the Chinese market as we go forward. We also incurred a $2.7 million pre-tax charge for restructuring costs in the quarter, primarily related to severance expenses. As I have discussed previously we have targeted over $20 million of savings in annual spending, and we have taken the necessary steps to achieve this goal, including combining some of our related business units within our SSG division reducing head count in some of our corporate and shared services areas, and reducing the use of outside contractors. In addition, we have instituted a salary freeze for 2009, and have suspended matching contributions to the company through our 1(k) plan. Finally, both the Board and I have agreed to reduce our compensation for 2009. I will discuss additional steps we are taking to improve our profitability in the strategy discussion a little bit later. Turning to our hearing loss expenses, we had a $10.5 million of net expenses related to hearing loss in 2008 and expect a similar level of expense in 2009. The company has had a string of successes in defense of hearing loss claims. Since the year 2000 the company has either one verdicts or obtained dismissals of 74 plaintiff cases in Cook County. Last week we received an unfavorable ruling in connection with a hearing loss claim filed by nine firefighters in Illinois. However, we believe the company has strong appeal arguments in these cases and we'll fight aggressively to overturn the initial verdict. We continue to believe strongly in the merits of our case based on the numerous successes that we have experienced, and we'll continue to defend the company's life saving products. As everyone is keenly aware the marketplace is extremely challenging right now and it is likely to remain challenging throughout 2009. Our total orders were down 20% for the quarter compared to last year, and that was with our SSG division posting a modest 2% decline for the quarter. U.S. municipal budgets are under considerable strain, and our orders are reflecting that. Total fourth quarter orders from the U.S. municipal market fell by 27% versus last year. Municipal orders remained weak in January. The U.S. industrial market was similarly challenged in the fourth quarter with our orders down 18% versus last year. However, despite these significant order declines we head into 2009 with an order backlog of just over $300 million and we continue to have strong brands and leading market share. In terms of guidance, as we look forward into 2009 we are in the most difficult forecasting environment that I can remember, current marketplace dynamics particularly in the municipal market are very difficult and have not yet shown any signs of improvement. The timing and magnitude of the stimulus bill impact is not yet fully known or visible although, we are aggressively targeting opportunities from the stimulus across all of our businesses. Given the current economic uncertainty, I don't feel comfortable giving any financial targets beyond the first half of 2009. For the first half of the year, we expect revenues to be down approximately 15%, with a slight loss at the pre-tax income level. We expect the second quarter to be modestly improved versus the first quarter. And we are driving for improved results in the second half of the year, but don't feel that we can discuss any expectations beyond the first half at this time. I will now turn the call back over to Bill Barker for more detailed financial revenue. After which I will discuss my vision and strategy for Federal Signal's future.
William G. Barker III: Thanks Bill. I will give a fairly brief revenue of the numbers, most of which are included in today's press release and some of which are on the slides that we will be using. The slides can found at www.federalsignal.com. I'd be happy to answer any questions at the end of the call or later today. Looking at our P&L for the quarter, revenue was $254 million which was down less than 1% as Bill mentioned. The net currency impact on revenue for the quarter was little more than negative 2%. Strong revenue growth at Bronto offset modest declines at ESG and SSG. Gross margin for the quarter improved from 26.3% last year to 27.3% this year driven by improved throughput and cost efficiencies at Bronto following the completion of the capacity expansion, and by growth in some of high margin SSG businesses including our PIPS automated license plate recognition camera business, and international warning systems business. Operating expenses increased $6.3 million. The key drivers of the increase were higher net cost for the hearing loss trial, cost associated with executive changes, and higher selling expenses related to the Bronto sales increase. As Bill discussed, restructuring cost for the quarter were $2.7 million primarily related to severance expenses. Operating income for the quarter was $14.3 million or 5.6% of sales compared to $21.3 million or 8.3% of sales last year. Interest expense of $2.6 million was below last year's $6.1 million due to lower borrowings in the quarter. We had a total of $11.1 million related to our loss in the China joint venture in the quarter which included the $10.4 million pre-tax charge Bill mentioned. Our reported EPS from continuing operations for the quarter was $0.10 per share which included $0.08 for the cost associated with the China joint venture, and $0.04 for the restructuring costs. We also recognized a $16.4 million loss from discontinued operations in the quarter, related to final adjustments from the E-ONE sale, and cost to close the tools business in China. Turning to the segments, SSG net sales declined 2% versus last year for the quarter from 98 million to 96 million due to a negative net 3% net currency impact for the quarter. Our PIPS business, warning system business, and industrial business all had sales increases in excess of 20% for the quarter. These gains were offset by double-digit declines in our parking business, and our mobile emergency products businesses of lightbars and sirens in both the U.S. and Europe. SSG entered 2009 with an order backlog of $51 million. Q4 operating income for SSG was $12.8 million or a 13.3% margin roughly flat to last year's $13.1 million of operating income at the same 13.3% margin. The 2008 numbers include $1.8 million of restructuring expenses. For the full year SSG generated revenues of $372 million, and operating income of $40.3 million or a 10.8% margin. SSG's full year income was impacted by the $1.8 million restructuring charge, and the $6.9 million charge in the year to settle issues related to parking contract at the Dallas Fort Worth airport. Bronto which is shown as FRG on the chart had a very strong quarter with sales up 16% to $53 million and operating income up from $4 million last year to $5.8 million this year generating a Q4 operating income margin of 10.9%. It has been mentioned previously, the recently completed capacity expansion enabled higher volume throughput and reduced cost related to products and outsourcing. Bronto's full year results were revenues of $146 million and operating income of $10.4 million or a full year margin of 7.1%. Bronto's backlog remains robust at $144 million. ESG sales for Q4 were down 6% to $105 million. Vactor, Jetstream and Ravo; our European sweeper business generated sales increases ranging from 4% to 13% but Elgin had a sales decline in excess of 20% for the quarter. ESG entered 2009 with an order backlog of $106 million. The $6 million sales decline in the quarter resulted in the $3 million profit decline. ESG operating income was $6.2 million or a 5.9% margin, compared to $9.1 million last year which yielded in 8.2% margin. This year's results include $300,000 of restructuring costs. For the full year ESG's revenues were $442 million, and operating income was $35.5 million for an operating margin of 8.0%. Corporate expenses in the fourth quarter increased by $5.6 million, the key drivers of this increase were a $2.7 million increase in net costs related to the hearing loss trial, $600,000 of restructuring costs, and $1.7 million related to severance and executive changes. Full year corporate expenses, increased from $21.1 million to $30.7 million due to a $9.9 million increase in legal cost associated with the hearing loss litigation. Thus the company's full year P&L shows revenues of $959 million, operating income of $55.5 million which includes $2.7 million of restructuring charges, and loss on investment in joint venture of $13 million. Income from continuing operations was $31.3 million, and reported earnings per share from continuing operations were $0.66. Turning to the balance sheet; we had $33 million of cash and short-term investments at year-end and had $122 million of availability under our $250 million revolving credit agreement. The revolving credit agreement matures in April of 2012. At the year-end we were in compliance with all of our debt covenants. We have $25 million of private placement debt maturities coming due in 2009 which we plan to fund with a combination of our current available liquidity and our expected operating cash flow. Our balance sheet and the company underwent something of a transformation in 2008. The sale of E-ONE and the remaining tool business, the liquidation of the leasing portfolio and the sale leaseback transaction executed in the third quarter enabled the company to pay down over $150 million of debt and generated an additional $20 million in cash. And now, I will turn the call back over to Bill Osborne.
William H. Osborne: Thank you, Bill. With the completion of the part of this call dedicated to our recent results. I will now discuss Federal Signal strategy for enhancing near-term earnings and cash flow as well as growing shareholder value. Since I joined Federal Signal, I have performed an extensive review of each business within our portfolio to determine the optimum role each should play in pursuing our mandate to create shareholder value. I have visited every facility, seeing first hand how we work and talking with some of our employees in the field about how we can operate better as a company. I have also met with many of our customers and asked for their feedback. Putting together this strategy aimed at returning Federal Signal to consistent profitable growth has been a team effort. And I appreciate the perspectives of the Board and our management team. I have also been able to bring my own fresh perspectives to Federal Signal keeping all options on the table from the outset. In 2008, Federal Signal began its transformation. We've sharpened our strategic focus by divesting E-ONE, the tools business, and the vast majority of our leasing portfolio. Today, most of our businesses have the number one or two market position in their respective categories. Additionally, we improved our financial flexibility by using proceeds from those divestitures to pay down debt and improved our risk profile by decreasing the capital allocated to non-core or higher risk businesses. In short today Federal Signal has enhanced liquidity, a leaner capital structure, and the more focused business portfolio. The next few slides will outline Federal Signal's two-pronged strategy to achieve consistent profitable growth and deliver value to shareholders. Execution of this strategy will enable us to meet our long-term profitability and growth objectives. Specifically, we believe we will be able to achieve consistent double-digit margins across all of our businesses, and achieve long-term profit growth in excess of 10% per year. First, we will undertake a number of initiatives to improve margins and extract efficiencies within the company's legacy businesses. At our Environmental Solutions Group, we will focus on streamlining our product offerings, reducing product design costs, and consolidating excess capacity. At our Safety and Security Group, we will see to outsource non-core manufacturing, consolidate excess capacity, and simplify the business structure. As I mentioned earlier we've already consolidated a fragmented business group by integrating our lightbar and warning systems businesses into public safety systems. Finally, at Bronto, we will continue our margin improvement efforts which already began to generate tangible results in the fourth quarter of last year. As we execute on our strategy for margin improvement across all of our business we will move concurrently on a parallel path to drive growth through our public safety systems platform. The public safety systems mission is clear, to become the global leader in the public safety systems market. In January, we consolidated with our public safety systems business our leading PIPS, Federal Warning Systems, Riverchase, Codespear and our lightbar businesses. Together these businesses represent over $200 million in annual sales. So why focus on public safety systems? Well, when you combine our leadership position with the global market growth potential you quickly come to realize that our public safety systems business has an exciting set of opportunities. We see significant demand for public safety solutions. The U.S. Homeland security budget illustrates this point. Enacted appropriations by the Federal Government grew 53% from 2003 to 2008. Further, growth will be driven by the introduction of new products and services to an increasingly receptive and better funded global customer base. Overtime we intend to introduce our services delivery model by introducing the concept of the public safety network. We will fund this growth using operating cash flow and available liquidity. Overtime, this may include divestiture proceeds as we optimize our portfolio. Let me now discuss the near-term plans for each business group. ESG contribute significant cash flow to Federal Signal and comprises a variety of brands that have market leadership in their segments. I'll spend a moment highlighting some of the opportunities to grow revenue as well as improve margins in this business. This slide lays out of our leading brands in the markets they serve. Let's talk first about Jetstream. Jetstream is well positioned in markets with strong long-term growth characteristics. Jetstream's global brand strength is increasing and we're building our international distributor channel to increase our share of the global waterblaster market. Jetstream's strategy is to maintain core machining operations in the U.S. and to ship pump kits around the world. This enables low start-up costs in emerging markets. This strategy has allowed Jetstream to deliver double-digit growth in recent years. Moving on to Vactor. Vactor also has a growth opportunity in the form of federal funding when it's been allocated for airport glycol recovery vehicles, which can quickly and efficiently clean up, spend fuels on the airport apron area. ESG manufactures the largest and most effective vehicles currently used in glycol recovery. We have also seen an important trend in the increase in sales to rental companies. And have supplemented our dealer network within important direct selling effort. To further grow revenue we intend to take ESG's brands into emerging markets. Finally, we believe we can further improve margins by reducing our SKU count. We will eliminate marginal sweeper products from the lineup to achieve improved standardization in our manufacturing process. Similarly, we expect to bring increased standardization to our Vactor product line which will improve manufacturing velocity and reduce lead times. Shorter lead times are critical in the contractor segment. Because when a contractor wins a bid that customers needs a machine quickly or else revenue opportunity is lost. As we mentioned earlier in the call, we are committed to eliminating losses from our China joint venture. Let me remind you now that we have two operations in China and we will focus on our profitable wholly owned subsidiary. At Elgin, we will target a significant margin improvement through a major design cost reduction effort on the Pelican sweeper line. As we've completed our capacity expansions at our Vactor facility, we will also look to share fabrication and assembly capacity between our Vactor and Elgin businesses. All of these efforts collectively should allow ESG to produce consistent double-digit operating margins in the future. I will spend a moment now discussing Bronto, on slide13. As you know this business is the global leader in the truck mounted hydraulic aerial platform market. We completed Bronto's capacity expansion in 2008. This allowed Bronto to in-source fabrication at lower costs. We expect further margin improvement as Bronto continues to in-source more of its components. We are also evaluating low cost country sourcing of fabricated parts. We see long-term opportunities for Bronto in the North American wind power market as well. We believe the Bronto Skylift will represent the preferred access tool for the maintenance of wind turbine towers. Bronto's growth potential in this segment is significant. There are currently over 25,000 installed wind turbine towers in the United States with planned construction of an additional 20,000 towers over the next several years. Additionally, Bronto continues to enjoy a strong backlog which has helped to provide Federal Signal with stable cash flow. I'll now discuss how we intend to drive growth through public safety. Due to tight budget constraints and the need for more productivity, law enforcement is fast becoming an IT-based business. We're seeing the same thing in transportation management. We will help our customers approach these challenges with the new concept of the public safety network. Let me define for you the public safety network. Our public safely network consists of intelligent devices monitoring an entire geography. Those devices have alerting and notification capability. The network has data storage and management, and data mining and reporting capability. Our leading PIPS platform is our future growth opportunity for the public safety network. Codespear will provide interoperability for this network. As you know PIPS is the market lading ALPR technology. ALPR stands for automated license plate recognition. We will deploy PIPS cameras into existing municipal infrastructure, we'll provide 24 hour monitoring maintaining a valuable database of information. That information can be used to manage the traffic flows, enforce laws, identify threats and control access. These needs are what drove over 46% increase in PIPS orders in the second half of 2008. PIPS is the most accurate and reliable ALPR solution on the market today. This was proven in an October 2008 study conducted by the Department of Homeland Security. PIPS received the highest overall score and the highest scores in capability, usability and deployability categories. The left slide... the left side of page 16 represents applications already available today. However, once the public safety network is in place these future applications on the right side represent incremental revenue opportunities that can be easily added on to the existing network. We envision adding our complementary video technology and a suite of software based applications to the network to enhance its value. We have numerous success stories, have shown a few on this slide. Let me talk a little about our Rings of Steel project in the City of Cincinnati. This is our first application of the public safety network, where we are deploying approximately 400 cameras in Cincinnati and surrounding jurisdictions. The project was partially funded by Homeland Security Grant and represents a multiple year commitment to deploy our services model. Cincinnati has been one of our most innovative customers. They have mined the data collected on our public safety network to effect over 1,100 arrests, 147 stolen vehicle recoveries and solved over 20 robberies and multiple homicides. These statistics represent a tangible improvement in public safety. Another example, is the City of London, which uses hundreds of PIPS cameras in the world's best known congestion tolling system. This represents a significant revenue sharing opportunity. We can deploy an open road tolling system without the need to install expensive infrastructure like toll booths or transponders on every vehicle. To illustrate the growing priority placed on safety and security markets slide 18 shows the estimated funding for state and local funding categories that our products serve. In 2008 addressable state and local funding amounted to $2.6 billion and this comprises less than 20% of the estimated domestic addressable market. While this slide just shows a portion of the available domestic funding, increased funding for public safety is a global phenomenon. In this context we are supporting our customers to help them receive access to available government funds. A large part of our selling effort is now designed to identify the funding sources and work with our customers to tap into to that. There are huge benefits to the customers of our services model. The services model significantly lowers acquisition cost. And the benefits that Cincinnati is seeing are only attainable from the public safety network not from purchasing individual cameras. With the ubiquitous coverage that a public safety network provides you get a safer community and a better quality of life and that's what we're about. Federal Signal protects people, property, and the environment. We intend to deploy our services model overtime. We think our services model drives growth in three ways; first, we can achieve faster market penetration by offering customers lower acquisition cost. Second, the services model will then drive increased customer loyalty versus a one-time hardware sale. We will get to know our customers better by working with them to design and operate a network that fits their needs. Third, the opportunity to add products and service overtime after the initial sale, that customer knowledge will allow us to identify and design new products that will truly add value to their existing network. I will conclude my prepared remarks by emphasizing the two equally important elements of our strategy to deliver consistent profitable growth and shareholder value. First, we will pursue margin improvement across all of our business. I have outlined the initiatives underway at SSG, ESG and Bronto. Our focus will be on enhancing near-term earnings and cash flow while pursuing profitable growth. Second, we intend to drive long-term growth through public safety systems. We will leverage the competitive advantages of our technologies to deploy public safety networks. Wealth will be driven by increasing customer acceptance, increased funding and value added services. With that I will now open the call up for questions.
Operator: (Operator Instructions). Your first question comes from line of Charlie Brady with BMO Capital Markets. Please proceed.
Charles Brady - BMO Capital Markets: Hey, thanks. Good morning. Could you give us some color as to on this new strategic plan as to what you'd expect the cost might be? Over what timeframe? And kind of when you're looking out the double-digit margins so what's your goal as far as getting that margin up there in terms of timeframe?
William Osborne: In terms of costs it's a little bit difficult to quantify because it depends certainly on the source of funding. Now for example, in the case that I noted in Cincinnati, a lot of our costs were offset by federal grant funding. And we've been able to offset the cost of the Ring of Steel project by with Cincinnati. We believe we have the lowest cost camera solution in the market. So we believe the overall cost to deploy the model we'll be able to be fund it through existing cash flow. And then second part of your question again Charlie?
Charles Brady - BMO Capital Markets: Yeah, you talked about getting the company back up to double-digit margins may be if you can give some color as to sort of in your mind a timeframe that might happen?
William Osborne: Well, none of these initiatives are short-term, we have some initiatives that we expect to begin to bear fruit in the next couple of months. But others will bear fruit over the next couple of years. But we believe that over relatively short business planning period we can get all of our businesses consistently to double-digit margins. A lot of the efforts that we outlined at ESG will take significant time for example, the design cost reduction effort takes time as you redesign, and retune new parts.
Charles Brady - BMO Capital Markets: Okay. And just switching gears, your guidance in Q, for the first half of '08 revenue is down 15% does that embed a foreign exchange head-win expectation?
William Osborne: No, we hedge about 70% of our currency exposure.
Charles Brady - BMO Capital Markets: Okay. And so the backlog numbers are those adjusted for any currency or is it neutral?
William Barker III: It's Bill Barker, it's neutral to absolute number.
Charles Brady - BMO Capital Markets: Okay, thanks. I'll get back in queue.
Operator: Your next question comes from the line of Walt Liptak with Barrington Research. Please proceed.
Walt Liptak - Barrington Research: Hi, thanks, good morning, Bill and Bill.
William Osborne: Hi, Walt.
William Barker III: Hi.
Walt Liptak - Barrington Research: With regard to the first half guidance for the 15% revenue declined and recognized in the some of the initiatives are going to be further up beyond the second half. Where do you expect your negative leverage to be on operating profits?
William Osborne: Well, I mean, we are very sensitive to volumes. Particularly in our most capital intensive businesses, so what's important for us is to keep a constant eye on the incoming order rate we... as I mentioned our plan is to take ESG into emerging markets to try to offset some of decline that we have seen in our traditional North American markets. But we are very sensitive to volume that's the highest negative lever on our profits.
Walt Liptak - Barrington Research: Okay. But let me ask you this. Can you stay profitable in most of your segments for the 15% revenue decline?
William Osborne: We... our plan is to be profitable in 2009 that obviously depends on seeing a strong order rate coming in for the second half of the year. A couple of benefits that we have going for us is we still have strong backlog at Bronto. Bronto is now selling October production. So we believe we've got an opportunity to continue to drive ales through Bronto. We are managing our backlog very carefully at both the Vactor and Elgin unit, business units. And surprisingly our order rate has held up pretty well in the public safety sector. In January orders were flat versus last year. So we still have a plan to remain profitable for the full calendar year.
Walt Liptak - Barrington Research: Okay. Are you implying that in the first half we might see breakeven or an operating loss in one of the quarters?
William Osborne: A very small operating loss. We expect the second quarter to be better than the first. But we expect a smaller operating loss in the first half of 2009.
Walt Liptak - Barrington Research: Okay. All right. And as you were talking strategically Bill about the direction for public safety, you mentioned divestures and I wondered what if that meant that some of these legacy businesses with the vehicles were something that were... is that what you were thinking for divesture and then focusing more on the higher technology PIPS and blaster (ph) type products or is my thinking going too far with where you normally said divestures?
William Osborne: Well, we think ESG has a very important role to play in this strategy. It provides significant cash flow that allows us to continue to invest in our near-term growth opportunities. Given the valuation in today's market we don't think it's an opportune time to divest businesses. So given that back we think it's a little premature to discuss specific businesses. But when valuations normalize we'll be better prepared to discuss specifics. Let me just emphasize that we are going to be disciplined sellers in any divestitures we are not holding a fire sale here.
Walt Liptak - Barrington Research: Okay I understand. And Bill, I wonder about the corporate expenses in 2009 if you can give us guidance, are we looking at a number lower than the 31 million because of lower legal expenses?
William Barker III: It's Bill Barker, we expect the number to be about the same. We expect our current forecast is at the hearing loss number which was $10.5 million last year. We currently have that in and about the same this year. So we don't see significant other changes in the budget so we're relatively flat year-on-year.
Walt Liptak - Barrington Research: Okay, okay. And then I want to get back in queue but I want to ask when were just about the... one of the things that we're hearing about and you mentioned the stimulus that the government is looking at things that they can control like the AFG or other kind of Homeland security funding in shovel ready project, even military projects getting accelerated? And I wondered if there have been the phenomenon where you're saying lower municipal spending right now as municipalities hold back on their cash with the expectation that there is going to be more funding ahead I am wondering if you can just comment on that.
William Osborne: Well, most of our municipal customers do expect to get improved funding in the second half of the year, I mean that's the anecdotal evidence we've heard. Most of these customers can't be specific know because the funding is being funneled through the states. And so obviously, there is a bit of negotiation going on between state and municipal governments as to how that money will be spread around. We are expecting some improvement in the second half of the year. But as those projects get identified as I mentioned earlier our team is focused on identifying the appropriate sources of funding and helping our customers get access. I might mention the other opportunity we see is the reauthorization of a Highway Bill in the fourth quarter of this year. That particular bill and our products line up very well with the new administration's initiatives on green funding. We think our technology will allow us to create traffic management systems that reduce carbon emissions and increase the efficiency of the traffic flow of an area.
Walt Liptak - Barrington Research: Okay. I understand. Okay, I will get back in queue.
Operator: Your next question comes from the line of Steve Barger with KeyBanc. Please proceed.
Steve Barger - KeyBanc: Hi, good morning.
William Osborne: Hi, Steve.
William Barker III: Hi, Steve.
Steve Barger - KeyBanc: Sorry if I missed this are there any other debt or investment obligations or guaranties for JV partners that we should be worried about?
William Osborne: No. No, the charge that we took in the fourth quarter was the full debt to guarantee the JV's full debt as well as to guarantee one of our partner's investments, but there is no other debt related to the entity.
Steve Barger - KeyBanc: Okay. And is if... will you be doing anything like that in the future on potential partnerships?
William Osborne: Anything like what, Steve?
Steve Barger - KeyBanc: Guaranteeing obligations or debt for JV partners?
William Osborne: Well, I'd just say what we will do in the future it would depend on the opportunity, probably with debt.
Steve Barger - KeyBanc: Okay. The run-rate for the litigation, how do you have the $10 million visibility already? Are you just assuming that the current run-rate is what you're going to incur over the next year? And where do you think the chances are as this issue extends into 2010?
William Osborne: Steve, it's difficult to say how far the issue would extend. We have a very good track record in defending these cases. It was not what I would call unexpected that we might experience a couple of losses. That's the nature of mass toward reform (ph) litigation. But I can tell we are committed to continuing to defend these cases as we think we are on meritorious grounds. We don't believe the company's products are actually causing these potential hearing losses.
Steve Barger - KeyBanc: No, right. I get that. But is the $10 million expectation based on a current run-rate of expenses per quarter?
William Barker III: Yeah, Steve, it's basically based on the fact that we currently have four more trial dates scheduled in 2009.
Steve Barger - KeyBanc: I see.
William Barker III: So we already have those on the calendar, is what's driving the budgeting.
Steve Barger - KeyBanc: Okay. The pre-tax loss that you discussed does that include charges or is that excluding restructuring activities?
William Osborne: Which pre-tax loss?
Steve Barger - KeyBanc: I think you talked about a potential pre-tax loss in the first quarter or may be the first half?
William Barker III: That would just be from continuing operations.
Steve Barger - KeyBanc: Okay. And with that expectation of a first half loss should we be worried about any debt covenants or can you remind us of what is due on the debt side in 2009?
William Barker III: Yeah, we've got $25 million coming due on the private placements. And as I mentioned we've got liquidity both in cash and in the revolver to cover that, as well as operating cash flow. We do have debt covenants out there. There are somewhat restrictive and some of that is going to depend on how things play out in the first and second quarter of the year. Given the visibility of the order pattern and our revenues are going to drive that. We're keeping a very close eye on it. But right now, we are okay.
Steve Barger - KeyBanc: Okay. And so you're expecting positive operating cash flow in first half '09 regardless whether you have a pre-tax loss or not?
William Osborne: I believe that's right.
Steve Barger - KeyBanc: Okay. Moving to public safety systems. Are you going to report that as a separate segment going forward? Now that it looks like it's around 200 million with the inclusion of lightbars?
William Osborne: That isn't our intention.
Steve Barger - KeyBanc: Okay.
William Osborne: We haven't changed the business structures, such that there's a separate business, had the reports to the CEOs of the... the division remains the SSG division.
Steve Barger - KeyBanc: Okay. I think you said the order rate there for, it was either PIPS or PSS, was 46% in two half '08. Where are you year-to-date on the comparable products versus that metric?
William Osborne: At PIPS?
Steve Barger - KeyBanc: Is that what the 46% metric was?
William Barker III: Yes. That was PIPS.
Steve Barger - KeyBanc: Do you know where it is year-to-date so far or--
William Barker III: There was a... PIPS was a number it's running about the same in January. The PSS number that Bill referred to which is the group of businesses that total over $200 million in revenue, those businesses were about flat in January but PIPS was up about the same amount as we saw in the second half last year. Just we'll get it right.
Steve Barger - KeyBanc: Okay.
William Osborne: And was your question full year or January?
Steve Barger - KeyBanc: Well, I said year-to-date but, January is fine, if you're seeing the same kind of growth rate. I just want to make sure that you're not seeing drop off relative to the strong performance in two half '08 or in 2008. And I know this is going to be a hard question to quantify but for the service model for PIPS that you're talking about, how did you calculate the mix of revenue growth versus margin or cash flow implications in providing lower upfront capital cost to customers? Just kind of, can you talk us through the thought process there in terms of how... why you're approaching it this way?
William Osborne: Well, we are approaching it this way because we've seen a significant increase in federal funding and that's allowed us to offset the upfront costs. So in our current project that we're running at Cincinnati, we know that the grant cycles run up to three years for an individual grant and that you're able to increase the penetration rates of these projects by driving grant funding. That allows us to offset the initial costs. We expect to achieve the contract renewal rates of at least one per year. So that gives you at least once per cycle, so that gives you at least a six year funding cycle. That allows us to reduce the upfront cost for customers.
William Barker III: And Steve, Bill referred to the Cincinnati project, the Rings of Steel project that is not currently being run on the services model, but it gives us a framework to build the financials in the cash flow model using that, and the returns in the cash flow returns and the paybacks are all very good.
Steve Barger - KeyBanc: And have you been now talking to other cities or brought other mayors or police to use through to kind of look at this. And can you tell us, how they are responding to the potential of having that network there?
William Osborne: Well, we are talking to a number of municipalities at both, the city, state and county level. And so, we are using Cincinnati as approving ground, but we are also talking to individual customers about their particular geography. We think everyone of these systems is unique, and it's important to drive a network that works specifically for that customer's geography.
Steve Barger - KeyBanc: All right.
William Osborne: I can tell you that we... there is a lot of excitement out there amongst our customers for this concept?
Steve Barger - KeyBanc: Well, that's the question, and this is the last one, I'll jump back in line. But, is it too early in the Cincinnati deployment to really be able to bring people in and explain to them, what's happening or is it still on the conceptual stage or can they look at tangible proof I mean, and I know you put out the statistics of what the systems provided. But can they let start going back in planning so that you could see further installations like this, potentially in 2009?
William Osborne: Well, Cincinnati is still on the deployment phase, of the 400 or so cameras that we talked about that were planned, that are planned for Cincinnati. We're probably about 50% through that installation. So to get the full benefit of the public safety network, we probably will finish deployment sometime mid-year, and then we'll begin monitoring crime statistics. But we are very encouraged by what we have seen so far with only a partial deployment of the network.
Steve Barger - KeyBanc: Okay. I guess I will ask one more. What's the revenue opportunity? Whether upfront and with the service opportunity from a city like Cincinnati on a full year basis? Do you have kind of an expectation that you can throw out there in terms of what the opportunity size is?
William Osborne: I don't think we're prepared to discuss that just yet, particularly, because we're still in a pilot phase with Cincinnati. I'd like to get those contracts signed and agree to before we talk those kinds of specific.
Steve Barger - KeyBanc: Okay. Thanks. I'll get back in line.
Operator: Your next question comes from the line of Ned Borland with Next Generation Equity Research. Please proceed.
Ned Borland - Next Generation Equity Research, LLC: Good morning, Bill and Bill. Most of my questions have been answered. I just have a quick one here on ESG. What were the international orders and sales like in the fourth quarter?
William Osborne: Just a second, we'll get that number for you, Ned.
William Barker III: International for... across the business or just for ESG?
Ned Borland - Next Generation Equity Research, LLC: Well, across the business if you got it there.
William Barker III: Yeah, in total, in the fourth quarter international orders were down about 15% for the full year it was about flat.
Ned Borland - Next Generation Equity Research, LLC: Okay. And then as a percentage of ESG, since you're going to be trying to penetrate developing markets with some of your products there. What is the percentage of ESG sales that is internationally, currently or where do you see that going?
William Barker III: Down the roof (ph), that we break it out by business group in total international sales for the company about 50%, about half of our orders were international. But as Bill mentioned, we still consider some untapped area that we want to try to get into, developing markets as well as driving our existing markets.
Ned Borland - Next Generation Equity Research, LLC: Okay.
William Osborne: ESG's international profile is perhaps the lowest in the portfolio. So that's one of the reasons we are targeting some emerging markets. ESG is disproportionately dependent on the North American market.
William Barker III: Bill again, let me correct myself, if you break that out. It's about 25% of ESG's business is international orders.
Ned Borland - Next Generation Equity Research, LLC: Okay. All right, great. Thanks.
Operator: Your next question is a follow-up from the line of Walt Liptak with Barrington Research. Please proceed.
Walt Liptak - Barrington Research: Hi. I just want to clarify one thing, as the business is transformed and changed and you look to federal funding, is there more Homeland security money and things like the Highway Bill, a second thought about the Highway Bill as a funding source and less AFG funding?
William Osborne: I'm sorry, what was... I didn't get your question.
Walt Liptak - Barrington Research: I guess the question is where... your federal funding sources in the past, AFG, because of the fire truck businesses and lightbars, et cetera. That was a significant funding source. But now with the business geared more towards the PIPS and public safety, it may be more transportation bill related or more Homeland security related. Is that the case now?
William Osborne: Yeah, the funding sources obviously changed for the public safety portion of the business. But I think that this concept lines out well with the new administration's initiative because not only is there an increase in spending related to public safety, there's also a huge push on now for green projects. And fundamentally, you can use this network to manage traffic flows, to congestion charging and that's huge really for our carbon emissions abatement and efficient traffic flow. So we think there'll be multiple funding sources beyond just Homeland security.
Walt Liptak - Barrington Research: Okay. And in the Highway Bill, the way I am understanding is that there's... that there are line items for PIPS type expenditures?
William Osborne: The Highway Bill hasn't been written yet. We're working to get those earmarks in the Highway Bill.
Walt Liptak - Barrington Research: Okay, okay, good. Thank you.
William Barker III: It's Bill Barker again here we're near the top of the hour. So I think we're going to warp it up here. Thanks to everybody being on the call. As I mentioned our 10-K will be filed the next day or two. And Bill and I are available for calls afterwards. So I'll throw it back over to Bill to wrap things up.
William Osborne: Okay. I'd like to thank you for participating in today's call. Let me conclude the call by noting that although the economic outlook is uncertain, is as uncertain as at anytime in recent memory, we have strong market positions as well as respected brands. We'll continue to make prudent investments to capitalize on our growth opportunities while remaining focused on executing our cost reduction programs and identifying additional cost savings. The changes of 2008 have given us a more focused business portfolio which puts Federal Signal in a better strategic position as we start 2009. I'm particularly excited about the opportunity we have to generate shareholder value by growing our public safety systems business. And I look forward to sharing our progress with you on future earnings call. Thank you very much.
Operator: Ladies and gentlemen, this concludes the presentation. You may now disconnect. Thank you and have a good day.